Operator: Good morning, ladies and gentlemen, and welcome to the CubeSmart First Quarter 2024 Earnings Call. [Operator Instructions] This call is being recorded on Friday, April 26, 2024. I would now like to turn the conference over to Mr. Josh Schutzer, Vice President of Finance. Please go ahead, sir. 
Joshua Schutzer: Thank you, Lara. Good morning, everyone. Welcome to CubeSmart's First Quarter 2024 Earnings Call. Participants on today's call include Chris Marr, President and Chief Executive Officer; and Tim Martin, Chief Financial Officer.
 Our prepared remarks will be followed by a Q&A session. In addition to our earnings release, which was issued yesterday evening, supplemental operating and financial data is available under the Investor Relations section of the company's website at www.cubesmart.com. The company's remarks will include certain forward-looking statements regarding earnings and strategy that involve risks, uncertainties and other factors that may cause the actual results to differ materially from these forward-looking statements. The risks and factors that could cause our actual results to differ materially from forward-looking statements are provided in documents the company furnishes to or files with the Securities and Exchange Commission, specifically the Form 8-K we filed this morning together with our earnings release filed with the Form 8-K, and the Risk Factors section of the company's annual report on Form 10-K.
 In addition, the company's remarks include reference to non-GAAP measures. A reconciliation between GAAP and non-GAAP measures can be found in the first quarter financial supplement posted on the company's website at www.cubesmart.com.
 I will now turn the call over to Chris. 
Christopher Marr: Thank you, Josh. Good morning, and thank you all for joining the call as it was well into the first quarter when we shared our thoughts on our 2024 and first quarter guidance as one would expect our first quarter performance metrics were in line with our expectations. Rental rates to new customers follow their historic pattern, reaching their seasonal low in mid-February before beginning their gradual move up into the end of March. Our key metrics related to consumer health, those being write-offs, receivables, units at auction, all remained in line with historic norms, against the backdrop of a healthy consumer and typical first quarter seasonality and asking rates, our existing customer rate increases during the quarter were consistent in both timing and magnitude.
 Demand activity during the quarter varied by market. Our more urban-oriented markets, such as the New York MSA and its Connecticut suburbs, Chicago and Boston experienced growth in year-over-year rentals. San Diego County also experienced positive year-over-year rental volumes, no doubt continuing to benefit from the Storage West transaction. Sun Belt markets, such as Atlanta and all of our major Florida markets experienced a decline in year-over-year rentals. Some supply impacted markets, such as Northern Virginia and Nashville, seem to be bottoming out from that supply impact and are beginning to show signs of stabilization. Phoenix is also showing signs of turning the corner with positive year-over-year growth in rentals and occupancy, albeit at rental rates well below 2023 levels.
 While Tucson continues to struggle to find its footing while being impacted by new supply. New York continues to be our top-performing market with consistent positive performance metrics across the boroughs and positive and improving performance in supply impacted Staten Island and North Jersey. Overall, trends are more constructive in our urban stores which tend to attract a customer solving for their smaller living space. As we move through April, trends thus far have our negative rate and occupancy gaps to last year narrowing from their first quarter levels. As we expected entering the year, the environment over the next 3 months will be highly impactful on how the entire year plays out. The macroeconomic data over the last few months has certainly been very volatile. It seems every week, we receive conflicting data most recently and unexpected slowdown in first quarter GDP growth.
 Other industries such as intermodal transportation, warehouse leasing used car dealers, home retailers have expressed cautionary views on consumer demand. One factor that makes our business so resilient is that there are countless life events that create demand for self-storage. Obviously, one demand driver of the many for our industry is single-family home sales. Over the last few months, the housing data has also been inconsistent. According to realtor.com, the number of homes actively listed for sale in February was 15% higher than the same month last year. I also note that the week of April 14 is the optimal time to list your home for sale as the third week of April brings the best combination of housing market factors for sellers.
 On the other hand, March home sales were disappointing and mortgage rates have climbed above 7%. Then you have yesterday's Commerce Department report and a possible positive sign for the housing market. Residential investments surged 13.9%, its largest increase since the fourth quarter of 2020. So while housing stats are certainly volatile, consensus remains for modestly increased activity over the historical lows experienced in 2023. Another of the many demand drivers for our product is movement within multifamily housing. In the multifamily sector, headwinds from new supply are contributing to rents that are flat or slightly declining in Sun Belt markets.
 According to RealPage, rents are down year-over-year in Atlanta, Nashville, Austin, Dallas, Orlando and Fort Lauderdale, which may spur existing apartment vendors to move or increase demand from first-time renters. Both are good for our industry. On the supply side of the equation, new store openings in our top markets continue their pattern of declining every year since their 2019 peak. In short,  the period between now and the end of July will be both illuminating and impactful on our expectations for full year 2024 performance. We remain confident in the long-term fundamental drivers of our business continuing to generate solid growth. Thank you for listening, and I will now turn it over to Tim Martin , our Chief Financial Officer, for his insights into our first quarter. Tim? 
Timothy Martin: Thanks, Chris. Good morning, everyone. Thanks for taking a few minutes out of your day to spend it with us. First quarter results were right down the middle of what we were expecting for the quarter. Same-store revenues were flat compared to last year, with average occupancy for our same-store portfolio down about 130 basis points to 90.4%. Same-store operating expenses grew 5% over last year, driven by continued pressure on property insurance as well as a good bit more snow removal cost this year when you compare that to last year. Offsetting those were lower marketing expenses relative to last year. But as we've discussed in past quarters, that's a line item that will bounce around a little bit depending on what opportunities we're seeing in the market to be efficient and to maximize our return on that spend. Flat revenue growth, combined with 5% expense growth yielded negative 1.9% same-store NOI growth for the quarter, and we reported FFO per share at the midpoint of our range at $0.64 for the quarter.
 On the external growth front, we closed on the previously announced acquisition of a 2-store portfolio in Connecticut for $20.2 million. We continued our disciplined approach to finding external growth opportunities that make sense for us on balance sheet. On the third-party management front, we had a record first quarter, adding 68 stores to our platform. That's the most third-party stores added in a quarter since our debut in the third-party management business 14 years ago. As a result, our third-party platform grew to 860 stores under management at quarter end. Balance sheet remains in excellent shape, nothing to do there in the short to medium term other than to continue to look for growth opportunities to utilize the liquidity and leverage capacity we've created over the last several years.
 Details of our 2024 earnings guidance and related assumptions were included in our release last night, our forward guidance for the year remains consistent with the guidance we provided in late February. Thanks again for joining us on the call this morning. At this time, Lara, why don't we open up the call for some questions. 
Operator: [Operator Instructions] Our first question comes from the line of Spenser Allaway from Green Street. 
Spenser Allaway: I was just wondering if you could provide some color on how move-in rents are trending thus far into the second quarter? And just any color you can share just if there's any trends geographically. But yes, just any color on move-in rents would be great. 
Christopher Marr: Sure, Spenser. So new customer rates in April are down 11% from last April, an improvement from the 13% at the end of Q1, and they were at 14% negative in Q4. So we're seeing a combination of what occurred last year and obviously, a little bit of improvement this year in that negative gap on new customer rates. 
Spenser Allaway: Okay. Great. And then are you able to provide or share the initial cap rate on the 2 assets that were required in the quarter? 
Timothy Martin: Yes, they're stabilized assets that we know well and it's in the low 6s. 
Operator: Our next question comes from the line of Michael Goldsmith from UBS. 
Michael Goldsmith: My first question is just on demand and how that trended to over the quarter. I think when you reported fourth quarter and provided guidance, you had good visibility into what seem like solid trends. How do the rest of March play out? And what have you seen on the demand side during April? 
Christopher Marr: Yes. Michael, as I said, it's market by market as it went through the quarter. We saw consistently strong demand in those more urban-oriented market. So growth quarter-over-quarter continuing into April on the positive side in the New York MSA and Connecticut suburb, Chicago, Boston, San Diego County, Phoenix and then the markets that you're having a little bit more challenge on the demand side, primarily all the major Florida markets, Atlanta and then some of the smaller Sunbelt markets. So again, if you think about it, the markets that had the largest uplift through COVID are now the ones that are closer to or the bottom of that chart and those markets that were more lower beta during COVID are at the top of that chart. 
Michael Goldsmith: And my follow-up is just on the guidance. First quarter came in line with expectations. Just given what you've seen now is given what you've seen kind of since you last guided, how has that environment change your outlook for the year? I mean you didn't move it, but as you think about the moving pieces of it, has anything changed on how you expect the rest of the year to play out? Or is it just still too early given the kind of like the week-to-week nature of the business recently and which doesn't provide you the level of insight you need to really update your expectations? 
Timothy Martin: Yes. Michael, the latter part of your question is exactly where we are. We provided that guidance with a range of expectations 6 weeks ago and nothing has happened in the last 6 weeks that would cause us to change that view. As we sit here, still in April, we have the whole summer rental season ahead of us, as Chris mentioned and you alluded to. And so we still have that range of expectations that we introduced 6 weeks ago. 
Operator: Our next question comes from the line of Samir Khanal from Evercore ISI. 
Samir Khanal: Chris, maybe on guidance again, I know in the last call, you spoke about the high end, assuming -- assumed some sort of improvement in the housing market. I guess given what rates have done, I mean, how do you think about the high end today? And my question is if the housing market does not improve, I mean do you feel that there's enough in that sort of ECRI push to make up for that difference? 
Christopher Marr: As I mentioned in my earlier perhaps as remarks the housing market is one driver. I mean the beauty of our business and why we're so resilient is that everyday life events are what creates a demand for storage. And so those everyday life events,  And certainly, movement within multifamily continue to exist. So our focus is on attacking what we can control, which is making sure we're efficient in capturing the customers who have identified a need for self-storage and converting them to become a CubeSmart customer. So again, the housing market is one of those factors.
 Our range of expectations certainly implies varying degrees of demand across the spectrum at both ends. And as we sit here, again, at the very, very early stages of the busy season, we still see those bookends of our expectations as where we think the likely outcome for the year will be. Again, as I mentioned, the facts, as I understand them, the third week of April is your peak listing for existing home sales. If you think about that house sells quickly. You're closing late May. It sits on the market for a couple of weeks, you're well into June. And that's when we would expect to see the busy season for us, May, June, July. And obviously, as Tim said, that's going to be very impactful on how we see the whole year play out. 
Samir Khanal: Okay. Got it. And I guess my second question, Tim, is on the advertising expense. I mean that was down roughly about 15%, that was a little bit surprising to me given that demand is still remains challenging. I guess maybe talk around that strategy. 
Christopher Marr: Yes. Sorry, I'll jump in for Tim there. When you think about the evolution of our investments over the last couple of years and continuing as we go forward into refining the technology and the customer data platform that we have -- now that CDP is increasing efficiency of paid for new customer acquisition, and we're beginning to see the fruits of that. So we're able to avoid wasted advertising on those obvious suppression segments, exclude those customers for whom. Again, they're within a set amount of time of rental. We're able to be more targeted through automated personalization, using AI, using machine learning to make sure that we can try and segment and identify that customer on the front end and target the response to their inquiry that has the highest potential conversion rate, and we're seeing the benefits of that in the ROI that we're achieving on marketing.
 Now all that being said, I would not -- it does not mean to imply that over the course of the year that our marketing spend will not grow from the levels that we had in 2023, but it absolutely is reflective of all of the investment we've made in our CDP and other things over the last couple of years starting to bear fruit. 
Operator: Our next question comes from the line of Todd Thomas from KeyBanc Capital Markets. 
Todd Thomas: Chris, I just wanted to follow up first on move-in rents. I appreciate the detail early on here in the call that you provided. I think you mentioned that the move-out to move-in spread narrowed through April. Can you just quantify that where that is today, what the change looks like sort of throughout the quarter and into April and where that stands today? 
Christopher Marr: Yes. Todd, just to be clear, what I had talked about was just the new customer rate. So that new customer move-in on a quarter-over-quarter basis was down about 14% in Q4 and then 13% in Q1, 11% in April. In terms of just that delta between the customer moving out and the customer moving in, that continues to be around 33%, 34%, and that has not really moved all that much since what we reported last quarter. As we get into the more seasonal time frame here where obviously our rates to new customers are moving up, and we do expect that gap to narrow as we move through the busy season. 
Todd Thomas: Okay. Got it. And then the occupancy build during the period, it appears as though it was a little bit below average when compared to prior years, just moving from the quarter average to the quarter end. Can you speak to where occupancy is today? And also vacate activity was a little bit higher year-over-year. Are you seeing any change at all in terms of move-outs? And can you talk about vacate activity, how that trended throughout the quarter and thus far into April? 
Christopher Marr: Yes. As we've moved through April, we've seen, as I mentioned, both the year-over-year gap in occupancy, and we just talk about the year-over-year gap in rate contracting, same thing on the occupancy side. So today, we sit at 90.8%, up 40 bps from the end of March, and that gap to last year has contracted back to about 120 basis points. Month-to-day rentals in April are flat to last year. And then when we see on the move-out side, move-outs continue to -- well, they obviously bounce around by market but are fairly in line with what we saw last year.
 The period of time certainly coming out of COVID, where we saw increasingly longer lengths of stay, that's really started to trend closer back to stabilization. And in some cohorts, we're seeing that start to contract a little bit. 
Todd Thomas: Okay. Does the normalization there in terms of length of stay or maybe a little bit of an uptick in vacate activity. Does that give you pause at all in terms of the company's ECRI strategy or have you rethink at all the pricing for existing customers around the sensitivity there, the rate increases? 
Christopher Marr: So obviously, something that we continue to pay very, very close attention to. But the overall length of stay, while they're down a bit from all-time highs, they remain well ahead of historical levels. Customers in our portfolio for over a year, 62%, 2 years, just over 44%. So down a little bit seasonally but still 300 to 500 basis points above historical averages. So the customer behavior that we're witnessing does not, at the moment, give us any cause to alter our sort of recent strategy as it relates to increases for that existing customer cohort. 
Operator: Our next question comes from the line of Jeff Spector from Bank of America. 
Jeffrey Spector: Great. Chris, my first question, just given your length of experience as I think about the conversations so far and the start of this peak leasing season, it still feels like there's a lot of uncertainty. If you go back to pre-COVID, is this in line with historically what you would normally see entering spring leasing? Or would you say it is fair based on your comments on the week-to-week changes in the economic data that still the '24 spring leasing season, uncertainty is still high. 
Christopher Marr: Yes, Jeff, I think it's fair to say that the uncertainty is quite high. I chop a little bit because I'm trying to think about what's normal, right? We would have sat here in 2018, 2019 and while the demand was normal, we had such elevated supply that the concern was, are you going to have enough demand to be able to fill up all the development that had come online. And obviously, we had the beginning of COVID, which was quite dysfunctional and then the surge in demand that we saw in late '20 and all through '21 to the early parts of '22. The fact that interest rates remained elevated, the fact that we have the housing market that we've spoken about ad nauseam. Certainly, that's one segment of everyday life events that is challenged at the moment in terms of mobility. So if I had to sit and look back at a normal trend over my 30 years in doing this, I would say we're obviously missing or not quite yet seeing that one segment.
 So it does feel a little bit more muted across the country than what we would have seen in whatever we would define as a more normal environment. But that uncertainty is -- so again, that's kind of where we are here in the next couple of months we're going to be, as I said, very informative. 
Jeffrey Spector: That's helpful. And then I just want to clarify again, I have that the higher end of the guidance reflects a stronger spring leasing season and improving price sensitivity. Is that correct? Is that still the case that the higher end reflects that? 
Timothy Martin: It is, Jeff, that your recollection is correct. 
Jeffrey Spector: Okay. And then third, if I could just ask, I'm curious on Florida, in particular, for the markets that benefited from the pandemic and movement. Just given there's still such strong -- there is still healthy population growth in these markets. It's definitely slowed but still population growth. I guess, can you provide some insights on what you think is happening in some of these markets that they're more challenged because you didn't cite them necessarily as supply, but you -- Chris, you specifically said these are markets that saw the big boom during the pandemic. 
Christopher Marr: Yes. I think what you're seeing is a combination of things in Florida, you obviously have reduced inbound movement from what we saw in the COVID a couple of years. You had supply on the West Coast of Florida, pretty significant, Miami, that was introduced in '19, 2021, that had benefited from all of that inbound COVID customers, but it's still there. And it weighing a bit on those markets you had natural disasters in terms of like the Cape Coral area, huge benefit from the hurricane and now you're on the other side of that. You have pricing in Florida from some of our larger competitors, that has not been super constructive over the last couple of quarters. So I think there's just a variety of factors that are impacting Florida as it starts to come down off of what was just tremendous performance for 2 years. 
Operator: Our next question comes from the line of Eric Wolfe from Citi Canada. 
Eric Wolfe: As part of your guidance, it looks like you're expecting the second half of the year to step up the $0.68 of quarterly core FFO versus $0.64 in the first half. I was just wondering if you could talk about what's driving that increase in the back half of the year. 
Timothy Martin: It's pretty natural trend line for us historically in our sector overall that the back half tends to step up from the front half, just naturally with the weighting of revenue increases throughout the summer rental season. So not a surprise and pretty consistent with past trends that the back half has more earnings than the front half. 
Eric Wolfe: Okay. And then if I think about sort of, yes, I mean, to your point, I mean, you normally see like a nice step-up in sort of realized rent per occupied foot in the third quarter versus second quarter. So I was just sort of curious based on what you're seeing thus far in terms of street rates, do you think you'll see that sort of normal step-up in the third quarter I guess I'm effectively just trying to understand what you need to see from a street rates and ECRI perspective to get to that normal increase that you see in the third quarter? 
Timothy Martin: I think we certainly would expect to see an increase in our ability to push on rates to new customers as you get into the summer rental season. The range to which we're able to do that is going to be dependent on all the things that we've been talking about on the call thus far, which is the underpinning the range in our overall same-store revenue guide is going to be to what extent are we able to get closer to a more normal seasonality on one end of the guidance. And on the other end of the guidance, if we have a repeat of what we saw last year, that kind of defines the other side of it. So the answer is really consistent with our overall same-store revenue guide. It's just going to depend on all the things that we see here over the next couple of months. 
Eric Wolfe: All right. And then maybe just one other one. If you look at the scraping data, which maybe isn't accurate, but it looks like the public REITs have sort of lower pricing than non-REITs. I guess is there any concern that you're sort of creating a little bit of a race to bottom in terms of the street rates? And I guess, thinking long term about how you'll evaluate the strategy of maybe having lower street rates at the beginning and a bit more aggressive ECRIs versus the more traditional approach? How will you evaluate whether this strategy is working or not? 
Christopher Marr: I think from our perspective and all of the data that we are accessing and have been looking at over the past several years. As I mentioned, you're seeing that sequential improvement in the year-over-year gap in rates. We're seeing rates from the competition that we have within the trade ring of our stores. Moving up seasonally as you would expect, and we're seeing more constructive pricing. In regards to individual strategies, again, the objective to our revenue maximization system is to produce the highest revenue that we can from each individual customer over their lifetime with us, and we'll continue to fine-tune the models and continue to look at different ways to achieve that, but that's ultimately the objective. I think your comment about the non-REIT operators.
 The reality is the gap in number of customers in balance sheet capacity and the ability to execute on things as I described in terms of automated look-alike targeting and being able to deliver a more relevant and personal experience across omni channels. It's just things that the larger companies can do that are very difficult for the smaller ones to replicate and therefore, you're always going to have that big operational gap between the REITs and the other competitors in the marketplace. 
Operator: Our next question comes from the line of Ki Bin Kim from Truist Securities. 
Ki Bin Kim: Chris, when you look at the move-in rent trends from the beginning of the year until now, how does that compare to -- I know it's difficult to say what normal is, but a normal seasonal pattern? 
Christopher Marr: Yes. Again, I think everything is a little bit more muted than what you would expect as to however we want to define normal, which goes to my comments at the beginning of the call around just the volatility in the customer, the volatility and the data, the volatility in the macroeconomic backdrop. 
Ki Bin Kim: And typically, your realized rents would increase in 2Q versus -- makes sense. But given some of the volatility and some weakness in pricing, do you think in 2Q sequential rents realized can increase? 
Christopher Marr: Yes. Again, I think that is possible. as we sit here at the end of April, we've got a lot of information we're going to get over the next couple of months that will be, as I said, very instructive as to how the year plays out. 
Ki Bin Kim: If I could squeeze a third one here. You're obviously doing well for you guys, but it did slightly decel from last quarter and 2 quarters ago. Just wondering if you can provide any color and how we should think about this going forward? 
Christopher Marr: I'm sorry, Ki Bin, at the very beginning there, the connection sort of zapped a little bit. So I didn't hear the first part of your question. 
Ki Bin Kim: I said your New York City market is obviously doing well for you guys, but it has shown some deceleration over the past couple of quarters. So I was wondering if you can provide any color on just how we should think about this moving forward in New York City. 
Christopher Marr: Yes. I mean the New York market in total and New York City boroughs specifically, we continue to expect we'll be the leader of our portfolio in terms of those metrics around growth, how they progress is going to be highly impactful by what the next couple of months look like. But I think the trends that we're seeing in New York are very positive to us, but some of the same pressures you're seeing in North Jersey as it relates to supply.
 Those continue to be there, Westchester and Long Island also have a little bit of supply. So the boroughs continue to do quite well and are leading overall in the MSA, the Westchester, Long Island and North Jersey suburbs will bounce around here a little bit as we feel with the impact of supply. 
Operator: Our next question comes from the line of Keegan Carl from Wolfe Research. 
Keegan Carl: Maybe first, I know you maintained your outlook on your same-store revenue range, but I'm just curious if there's any change in your underlying assumptions in occupancy street rate ECRIs given the year-to-date performance. 
Timothy Martin: No, really no change at all. The first quarter, as we mentioned, came in right down the middle of the fairway from what we expected. And then again, just to reiterate it again, the expectation for the rest of the year is going to be highly dependent on the next couple of months. We haven't seen it yet. So really nothing has changed in the guidance range overall or, frankly, on any of the underlying assumptions that support it. 
Keegan Carl: Got it. And then shifting gears, supply has been a pretty big focus in our discussion with investors. Just curious what you're seeing out there for the balance of this year in '25. And are there any markets in particular that you think your plans or your assets to be impacted in an outsized manner? 
Timothy Martin: Yes. As I mentioned on the opening remarks. Overall, supply continues to decline and remains pretty constructive in terms of its impact on us. I think when you -- again, there is supply, it's not 0 as it shouldn't be in a healthy economy. But when you think about individual markets, we would expect to continue to see some impact in Philadelphia and the Philadelphia suburbs as one that is seeing it. I am in North Jersey. I think when you look out across the rest of the country, there will be pockets here and there in terms of new development deliveries, but nothing that stands out as extremely impactful. Again, we have some markets where those deliveries that are on the docket may or may not actually happen just given how much things have changed in terms of cost of capital and cost of raw materials. 
Operator: The next question comes from the line of Eric Luebchow from Wells Fargo. 
Eric Luebchow: Great. Thanks for the question. So I know last quarter, you said for potential acquisitions, you were seeing the bid-ask spread narrow a bit versus last year. But just wondering, given the recent backup in interest rates and market volatility. Are you finding it's still pretty tough to find attractive M&A opportunities in the market? 
Timothy Martin: Yes. Certainly, we saw that there was a bit of a head fake.  A couple of months back as rates were coming down and brokers were at that point, signaling probably more wishful thinking, I guess, from their perspective that there was going to be a lot of stuff coming to market. And then that turned out to be a little bit of a head fake. I think the challenge right now is that the bid-ask spread is pretty hard to gauge just because there's so little transaction volume at the moment. I think folks are generally speaking, trying to take a couple of months here and see where things land.
 All that said, clearly, there are some transactions that need to trade, whether they're held in closed-end funds or they're held in a structure where that group need some liquidity. Something's got to give at some point. And what we do is continue to work hard to underwrite every deal that we can get our hands on. And ultimately, we want to put the balance sheet to work because we've created an awful lot of capacity to fund external growth when we find those opportunities.
 So if I had to guess, I would say that the bid-ask spread hasn't got back out but it's really difficult to say there's just so little that's trading at the moment. We had also spoken to many brokers, some of them would suggest that if you go back to a pre-COVID normal type of year, the things that came across their desk that they would take to market. They would have an expectation that 80% to 85% of those deals would trade. Those same brokers today see that about 25% or 30% of the things that they list actually trade. So even a lot of the stuff that you underwrite that you end up not being successful on, it's not that you're successful and somebody is bidding more than you, it just doesn't trade at all. So difficult to evaluate from that perspective. 
Eric Luebchow: Got you. That's helpful color. I guess not to harp on the supply question too much. But I think last quarter, you said across your whole portfolio, about 27% of stores have been impacted by supply. And I believe that is looking at like a trailing 3-year basis, if I recall correctly.
 So if you look at actual deliveries this year versus the previous 2 years and then kind of what's under construction or new starts, do you think that 27% goes even lower in '25 and '26 just based on what you see shovels in the ground on new construction today. 
Christopher Marr: Yes. Based on what we see today and certainly in our top 15 markets, which generate about 75% of our revenues, we would expect that, that trend from 40% in 2021 to 35% in '22, down to 30% in '23, 27% in 2024, would continue to decline as we get into 2025 and '26 at this point. 
Operator: Our next question comes from the line of Juan Sanabria from BMO Capital Markets. 
Juan Sanabria: Just wanted to ask about the pace or predictability of demand kind of through April year-to-date, you talked about kind of the back end of last year, being more comfortable about normal customer behavior. But just curious what you would say to some of the privates that said, January and February were stronger, but March seems to kind of fall off a bit and whether you experienced that? And if the customer behavior is still "normal" as you see it, which was the case at the end of last year. 
Christopher Marr: I think in terms of demand across the portfolio versus our expectations, the first quarter played out, as Tim said, right down the middle of the fairway. There wasn't an identifiable nor expected catalyst to alter demand trends during the first quarter. So again, versus our expectations, things played out right down the middle. As I mentioned, April month-to-date, I gave you the occupancy info and rentals are flat to last year. So trends. There's nothing from the trends in the first 3 months plus the 26 days of April that are giving us any particular insight into what's going to happen over the next 3 months. So not to be a broken record, but the next 3 months are going to be highly enlightening and very impactful on how we think about the year. 
Juan Sanabria: And then just the government put out new overtime pay rules. Just -- I know storage as a whole has been very efficient in the use of labor or ban hours. Just curious if there's anything we should be thinking about with regards to those new overtime rules and the impact on storage OpEx costs going forward? 
Christopher Marr: Nothing specific related to the new rules as it relates to our business. Now obviously, we are competing for talent in our stores with retailers and other businesses that have the same types of skill sets as we value in our store and district teammates, and that continues to be a pretty competitive environment. But from our perspective, nothing has really changed in terms of that environment. 
Juan Sanabria: And just one last one for me. On the third-party management, very strong first quarter. So what's the visibility for the balance of the year? And should we expect that kind of above trend growth to continue for the foreseeable future? 
Timothy Martin: Yes. So we did have -- thanks for letting me have the opportunity to say it a second time. But 68 stores in the first quarter was the most that we have onboarded in 14 years in a single quarter. So that was fantastic. We have a very healthy pipeline. This will surely be year #8 of us being able to add at least 130 new stores to the platform. I think on the other side, when you think about churn on the third-party management platform, which is a normal and healthy thing, because the transaction market is slow, we do have an expectation that fewer stores will leave the portfolio because the transaction market is muted.
 So we expect to have another very productive year on the third-party management front. The reality is that when you have times like this where the operating environment isn't normal and it becomes more challenging, existing owners are more likely to recognize the need and the value that a sophisticated operating platform like ours provides. And so the math around the value of our services becomes a lot easier for those folks when times get a little bit challenging. So bad news that fundamentals aren't as robust as they were in 2021 and '22. Good news is it allows those of us who have a lot of great tools and data and a really well staffed and powerful platform to really show that value at times like this, apart from times where everybody is doing well. 
Operator: Our next question comes from the line of Brendan Lynch from Barclays. 
Brendan Lynch: I wanted to circle back to the advertising spend being down. And you're talking about the kind of improved conversion rates and return on invested capital improving. Can you just quantify maybe the order of magnitude that you have seen so far in those changes and what the potential opportunity is going forward? 
Christopher Marr: Sure. So when I think about taking it backwards, when you think about the potential opportunity going forward, it continues to be a focus on how can we use the tools that are available to us, both through our CDP as well as through things like Google's Performance Max, which is an AI-powered campaign, help supplement our traditional paid search campaigns by exposing those qualified users to CubeSmart ads across multiple Google placements and there are countless things like that under the hood that we continue to work on and refine to make our marketing spend as efficient as possible. And I think that we are in the early stages of beginning to see the benefits of those investments that we've made historically and those that we'll continue to make here over the next couple of years.
 In terms of just numbers, when you think about web visits are up or so over where they were last year. The conversion rate is about 530 basis points better than it was last year. We're reducing our cost per clicks by -- in the magnitude of around 9%. So those are some data points against that, but it is a rapidly changing environment. Obviously, we have the impact of the removal of cooking that has now been somewhat deferred into next year, but that will also change the landscape for those of us who rely heavily on digital marketing for customer capture. So exciting stuff going on here at Cube and I think in the digital world in general, and we're highly focused on finding ways for it to reduce our costs and help improve customer capture and revenue maximization. 
Brendan Lynch: Great. That's helpful. And one more on expense items, property insurance. The increase is the most acute in markets with weather risk? Or is it pretty even across the board? And do you have just property insurance? Or do you also have business disruption insurance as well? 
Timothy Martin: It's difficult to answer the first question because we have -- our approach is across the entirety of our portfolio. So getting visibility into market by market, it's a little bit challenging because it's quoted for the entirety of the portfolio. Obviously, it's going to be influenced by those areas that are more impacted by some of the recent activity and some of the other pressures just more broadly on commercial cost of insurance, Florida comes to mind. And then... 
Brendan Lynch: Business disruption alternative. 
Timothy Martin: Yes, we do have business interruption as part of our overall coverage. 
Operator: Our next question comes from the line of Tayo Okusanya from Deutsche Bank. 
Omotayo Okusanya: There was a comment earlier on just about ECRI trends in terms of frequency and magnitude kind of being similar to kind of where you've been experiencing. Can you just provide a little bit more color around that in terms of ECRI is generally up, again, still in the teens or high low double digits or give us a sense of what's happening there and if anything is changing in terms of just frequency, how quickly you're doing it, especially for kind of new tenant capture? 
Christopher Marr: Sure. Over the last 3 quarters or so, there's really been no change to the magnitude or the frequency of that program for Cube, and it continues to be running on average at about that mid-teens level in terms of the average increase that a customer may receive across the portfolio. 
Omotayo Okusanya: Got you. That's helpful. And then in terms of just the customer behavior, whether activity you're seeing with credit card payments or payments by other means. Anything changing on that end, any kind of increases in bad debt? Any kind of increases in delinquencies or anything of that nature. 
Christopher Marr: No, nothing in terms of change in trends in our customer and our existing customer health as it relates to those areas of credit for the self-storage business, looking at units going to auction, our customers greater than 30 days past due write-offs, et cetera, all trends continue to be in line with history. 
Operator: Our next question comes from the line of Mike Mueller from JPMorgan. 
Michael Mueller: Just a really quick one. For the -- I guess, the Port Chester development, it looks like the timing was pushed back a few quarters. Just curious what happened there. 
Timothy Martin: Typical of any development. That's a pretty normal thing that things get pushed back. It's a variety of factors, including just timing of getting permits, the timing of getting certain subs in there, nothing of particular note other than development time frames are always subject to change. 
Operator: Our next question comes from the line of Michael Goldsmith from UBS. 
Michael Goldsmith: Two quick clarifications. First, on street rates, we talked about the year-over-year change. Are you able to provide kind of what the sequential change in street rates were for March and for April? 
Christopher Marr: Yes, Michael, I'm sorry, I don't happen to have that sequential change at my fingertips, other than it continued to move sequentially up over that time period. I don't have the exact number. 
Michael Goldsmith: I'll follow up. And then just another clarification. I think you said that it's possible rates improved sequentially in the second quarter. Is that street rates or is that in place rents? 
Christopher Marr: Street rates should continue to grow during the second quarter as should realized rents continue to improve through the course of the year. 
Operator: This concludes our question-and-answer portion of the day. There are no further questions at this time. I'd now like to turn the call back over to Mr. Chris Marr for final closing comments. 
Christopher Marr: Thank you. Thank you, everyone, for participating in the call. I think the industry as a whole continues to demonstrate its resilience our customers come to find us with everyday life events. And I think our industry continues to deliver a valuable service to help remove some of the stress from those everyday life events and provide folks with a safe and secure place to store their cherished possessions until they need them back.
 So we're confident in the long-term growth of our industry, confident in Cube maximizing the opportunities that are presented to us. Obviously, there are economic factors and other things that are outside of our control. But what we can control is focus on delivering that perfect rental every single time to our cherish customer base, and that's what you can be assured we are keenly focused on here, especially over the next several months of our busy season. So thank you all for participating, and we look forward to seeing you in person or speaking to you again at the end of the second quarter. Take care. 
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a lovely day.